Francesca DeMartino: Good day, everyone. And welcome to Pfizer Inc.'s Fourth Quarter 2025 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Francesca DeMartino, Chief Investor Relations Officer and Senior Vice President. Please go ahead, ma'am. Good morning, and welcome to Pfizer Inc.'s earnings call. I'm Francesca DeMartino, Chief Investor Relations Officer.
Francesca DeMartino: On behalf of the Pfizer Inc. team, thank you for joining us. This call is being made available via audio webcast at pfizer.com. Earlier this morning, we released our results for the fourth quarter and full year 2025 via a press release that is available on our website at pfizer.com. I'm joined today by Dr. Albert Bourla, our Chairman and CEO, Dr. Chris Boshoff, our Chief Scientific Officer, and Dave Denton, our CFO. Albert, Chris, and Dave have some prepared remarks, and we will then open the call for questions. Members of our leadership team will be available for the Q&A session. Before we get started, I want to remind you that we will be making forward-looking statements and discussing certain non-GAAP financial measures. I encourage you to read the disclaimers in our slide presentation, the press release we issued this morning on the IR website on pfizer.com, and the disclosures in our SEC filings, which are all available. Forward-looking statements on the call are subject to substantial risks and uncertainties, speak only as of the call's original date, and we undertake no obligation to update or revise any of the statements. With that, I will turn the call over to Albert. Thank you, Francesca.
Albert Bourla: 2025 was a very good year for Pfizer Inc. I'm very pleased with strong execution to deliver and, frankly, overdeliver on our financial commitments. We exceeded expectations for revenues and adjusted diluted EPS while also returning $9.8 billion to shareholders via our quarterly dividends. We grew overall operational revenue for full year 2025 when excluding COVID-19 products, achieved solid double-digit growth in recently launched and acquired products, and expanded adjusted gross margins. Strategic actions in 2025 helped us resolve significant uncertainty, including at Sybin. Greater clarity on pricing and tariffs, business to deliver, and demonstrating the underlying resilience of EPS Season, despite the lowest ever COVID-19. We achieved 40 approvals, critical readouts, and initiated 11 pivotal studies. And our Metsera, Yaofarm, and 3S bio deals helped strengthen our robust pipeline. Overall, 2025 reinforced how well Pfizer Inc. can execute. We strengthened a foundation positioning us for growth towards the end of the decade, continued impact for patients, and long-term shareholder value. We have once again defined strategic priorities for the year ahead, which we presented at JPMorgan. 2026 is an important year in a pivotal investment period as we strive for industry-leading growth after several key products lose patent or regulatory exclusivity in the next few years.
Albert Bourla: Seagen, Metaira, and Biohaven are the most significant strategic acquisitions in recent years. They have transformative potential for Pfizer Inc., and we are focused on maximizing the value of in-line product portfolios and accelerating pipeline development. We made continued progress last year integrating legacy Seagen products into our commercial portfolio. I'm also pleased with notable advances in our development programs, including recent FDA approval for PATCEV in combination with pembrolizumab for patients with muscle-invasive bladder cancer who are ineligible for cisplatin-containing chemotherapies. We are encouraged by the opportunity to build on this with an expected regulatory decision for patients with cisplatin-eligible MIBC. If successful, we will substantially expand the US addressable population with approximately 22,500 additional patients across both cis-eligible and cis-ineligible muscle-invasive bladder cancer, up from about 19,000 patients in metastatic urothelial cancer. We have a clear strategy aiming for Pfizer Inc. leadership in the next generation of therapies for chronic weight management with a highly differentiated Metsera pipeline portfolio, our Yaopharm exclusive global collaboration and licensing agreement, and other Pfizer Inc. programs such as our oral GPR antagonist candidate. Since closing our Biohaven acquisition a few years ago, we have globally scaled a leading migraine portfolio. It strengthened our product mix to drive significant impact both for patients and our commercial performance. Nurtec has a strong market leadership position in the oral CGRP class in 2025. In Q4, we captured 83% of new CGRP writer volume and remain the leader in new patient starts. I expect 2026 to be also a very rich year for key catalysts and to intend to deliver on our critical R&D milestones. This year, we anticipate progress with approximately 20 recently initiated and planned key pivotal studies with 10 of them in the Metsera portfolio and four with our anti-PD-1 VEGF bispecific. Among eight expected key readouts, we anticipate one for SV, our novel potential first-in-class integrating beta-six targeting the DOT in ADC. The readout will be in second-line plus non-squamous metastatic non-small cell lung cancer, which affects about 50,000 patients in the US and more than 200,000 patients globally. We are also expecting key phase three readouts for elbrexvio in double-class exposed relapsed refractory multiple myeloma and for our Lyme disease vaccine candidate. The foundation of our strategy in obesity and adjacent conditions is targeting breakthrough medicines in what could be a $150 billion market. Earlier today, we announced encouraging results from our VSPERT three study, which previously was known as METERA 097I, the ultra-long-acting investigational next-generation injectable GLP-1 receptor agonist. In a few moments, Chris Boshoff, our Chief Scientific Officer, will walk through additional details and our plans for advancing our obesity portfolio this year. Oncology is another source of strength, and I'm excited by opportunities for significant progress in 2026 that would build on our established presence in breast, genitourinary, thoracic, and gastrointestinal cancer, and, of course, blood cancers. In addition to promising programs such as the SV, our oncology team is moving very quickly with a robust program for 4404, the bispecific antibody licensed last year from 3S bio. We have seven near-term planned or recently started trials for 4404, including two large global phase three studies anchoring our efforts to establish this investigational medicine as a potential backbone therapy across multiple tumor types. We're also pleased that the FDA has granted kimbanzi breakthrough therapy designation for investigation in younger pediatric patients aged six to 11 in hemophilia B with or without inhibitor. That's an important innovative medicine today, and we are investigating the full potential of Hymbabsi to support more patients living with hemophilia. Our third strategic priority is investing to maximize post-2028 growth. We are committed to fully supporting a robust and accelerated approach to R&D, the successful commercial launch of new products, and bolt-on business development while maintaining our robust dividend. And finally, we are scaling artificial intelligence across R&D, manufacturing, commercial, and patient engagement to improve productivity and accelerate innovation. We have been setting the foundation with AI already, data agenda workflows, and compute capacity. To meet the growing AI demand, over the next two years, we are expanding to more than 1,200 GPUs, largely driven by R&D application of AI. In R&D, we are embedding AI across discovery, development, regulatory, and medical to increase productivity and accelerate the pipeline and timelines. AI is optimizing supply planning and manufacturing, contributing to our manufacturing optimization program goals. In commercial, AI is helping to accelerate new product launches, delivering insights for dynamic targeting, and supporting personalized messaging and real-time marketing content. So with that and after I described the four priorities, which describe the full picture of what you plan to do in 2026, I will turn it over to Chris to discuss the news of the day, which are the Metaira long-acting announcement of Vespar three. Chris.
Chris Boshoff: Thank you, Albert. It is my pleasure to discuss the VSPR three study results today and provide more color to our press release this morning. These data are an important advancement in our obesity portfolio because they increase significantly our confidence in the phase three monthly dosing study that we expect to start later this year. To start, I'd like to review how the structure of PF-3944 drives its long half-life. Prior GLP-1 receptor agonists that rely on albumin binding to extend half-life require dissociation from the albumin protein for optimal receptor engagement. 3944 binds the GLP-1 receptor while still bound to albumin due to lipidation at the terminal end of the amino acid chain rather than the middle. This allows for reduced clearance without reduced receptor engagement, resulting in a half-life exceeding other agents that require albumin dissociation for binding. A key differentiator of 3944 is its extended half-life, which supports monthly dosing. Furthermore, given 3944's length of 41 amino acids, the molecule is considered a biologic and would be eligible for regulatory review by the BLA pathway. The right side of the slide shows previously reported data from the phase 2b VESPA one study evaluating 394414.1% at week 28, demonstrating the molecule's potential to deliver efficacy that is competitive with the standard of care and potentially best in class among monoagonists. In our currently ongoing weekly phase three study of 3944, VESPA four, we are also testing a higher dose of 2.4 milligrams weekly. With Vespa three, we aim to achieve two key objectives. First, to demonstrate that we could achieve continued weight loss when switching from weekly to monthly subcutaneous injections and maintain 3944's efficacy while reducing the dosing frequency fourfold. And second, to demonstrate that 3944 could switch to a fourfold equivalent monthly dose while maintaining a well-tolerated and favorable safety profile. Today, I will walk you through these data, which demonstrate we've successfully achieved both. The VASPER three phase 2b study was designed to evaluate 3944 with monthly maintenance dosing following a titration period of up to twelve weeks. The study compares four different dosing regimens versus placebo with a prespecified interim tolerability analysis at week twelve and a primary reporting milestone at week twenty-eight. OM one and OM three are low and medium dose regimens that we plan to advance to phase three, and these two study arms are the focus of the data we are sharing today. Starting with our first objective, I'm pleased to share that we observed robust statistically significant weight loss across all doses tested. At week twenty-eight, placebo-adjusted weight loss was 10-12.3% for our planned low and medium phase three doses, respectively. These results are shown in the blue bars and represent the trial's efficacy estimate. In the teal bars are model predictions of the potential efficacy we would expect with monthly maintenance dosing of 3944 in a study of adults with obesity or overweight and without type two diabetes, similar to VSPA three. A model-based meta-analysis approach was used to generate these predictions. This approach uses a mathematical model to capture the weight loss trajectory over time and the dose-response relationship. This model was built taking into account the observed data from the VESTA three trial, the available data from other 3944 clinical studies, and data from published trials of other weight loss. For the low and medium dose regimens, we see excellent concordance between our VESPA three clinical data in blue and our model predictions in teal. Applying the same model to project the potential efficacy of the planned phase three high dose regimen of 9.6 milligrams monthly, we predict placebo-adjusted weight loss of nearly 16% at week twenty-eight. Note the high dose is already being studied in the Vespa four phase three study as a 2.4 milligram weekly dose. Collectively, our clinical data model predicts show that 3944 can deliver robust weight loss after switching to monthly administration and suggest that we can potentially achieve increased efficacy with a higher dose. Moreover, VESPER three data do not show a weight loss plateau reached at week twenty-eight. Projecting continued weight loss is expected as the study continues through week sixty-four. With these results, we are confident that 3944 has the potential to deliver efficacy that is competitive with the standard of care and potentially best in class among monoagonists with a differentiated monthly dosing format.
Chris Boshoff: Next, I'll turn your attention to the second objective of BESPA three, demonstrating a well-tolerated and favorable safety profile for 3944 when switching to a fourfold equivalent monthly dose. Similar to our first objective, I'm pleased to report that year two 3944 delivered. In Vespa three, 3944 displayed a well-tolerated and favorable safety profile that is consistent with what has been observed with weekly GLP-1 receptor agonists. Observed gastrointestinal treatment-emergent adverse events were predominantly mild or moderate, with no more than one instance of severe nausea or vomiting in any dose group and no instances of severe diarrhea. Treatment discontinuation rates for Vespa three's weekly and monthly phases both show a compelling profile. Across the dose regimens planned for inclusion in phase three, five participants discontinued due to adverse events in each of the weekly and monthly phases. There were no discontinuations due to adverse events in the placebo group. We're encouraged by these results as they serve as an important proof of concept for the delivery of our fourfold equivalent monthly dose that maintains competitive tolerability, particularly given the study protocol did not permit down titration. The totality of tolerability data support our plans to evaluate a higher monthly dose of 9.6 milligrams in phase three, which is the monthly equivalent to the 2.4 milligram weekly dose currently being studied in the ongoing VESPA four trial. Today's encouraging results bolster our expansive obesity program. This year, we plan to advance 20 plus obesity trials, including 10 phase three studies of 3944 that span chronic weight management, obesity-associated comorbidities, and opportunities to increase patient optionality and access. We are targeting the first of a series of potential approvals in 2028. Looking to our early-stage programs, we are enthusiastic about phase two studies with our ultra-long-acting amylin analog, which we believe has the potential for class-leading efficacy and combinability with 3944 in a monthly dosing format. We previously reported positive early data from the single ascending dose combination study, which showed well-tolerated starting doses and additive weight loss. We plan to show updated combination data later this year. We continue to advance our potentially first-in-class oral Gipper antagonist that is in phase two, and additional phase one studies of agents with diverse modalities and mechanisms. These include an injectable ultra-long-acting GiPA agonist, a potential quarterly dose injectable GLP-1 receptor agonist, and oral candidates. To summarize, today's results are clear. Vespa three achieved its two main objectives, reinforcing 3944's potential potent and tolerable monthly profile. The ultra-long-acting GLP-1 receptor agonist serves as a foundation for our differentiated investigational obesity portfolio, delivering robust weight loss with no plateau observed at week twenty-eight in vespa three while also maintaining competitive tolerability when switching to a fourfold equivalent monthly dose. We are primed to execute across an expansive phase three program of 3944 targeting potential approval starting in 2028. And we are pursuing differentiated combination approaches with earlier-stage agents that have the potential to deliver greater optionality to address the diverse unmet needs of patients. With that, I'll turn it back to Albert.
Albert Bourla: Oh, thank you, Chris. And, I just wanted to say that today's results provide a compelling validation of our unique proprietary ultra-long-acting peptide platform. For the first time, we have shown that GLP-1 receptor agonist peptides can be administered monthly while maintaining the potential for competitive efficacy and safety. We are pleased with this important milestone for the platform that reinforces both the differentiation of our technology and the significant long-term value creation opportunity that it represents. And with that, now I will turn it over to Dave to discuss the excellent results of the quarter. So Dave,
Dave Denton: Great. Thank you, Chris and Albert, and good morning, everyone. Let me begin today by highlighting that our strong financial performance for both the fourth quarter and the full year directly reflects our continued disciplined execution of our key strategic priorities. We resolved certain and significant uncertainties in our business and made strategic investments aimed at driving revenue growth later this decade and beyond. Looking ahead, Pfizer Inc. is approaching an exciting phase where recently launched and acquired products and a strong pipeline are anticipated to spur growth towards the end of this decade. With that said, this morning, I'll provide our full year and fourth quarter 2025 results, then I'll touch on our cost improvement initiatives as well as our capital allocation priorities. I'll finish with a few comments on our 2026 guidance, which we are reaffirming today. For the full year 2025, we recorded revenues of $62.6 billion versus $63.6 billion last year, representing a 2% operational decline. Importantly, our operational revenue growth, when excluding contributions from our COVID-19 products, was 6%. Full year 2025 adjusted gross margins expanded to 76%, in line with our expectations. We will continue to drive cost improvements going forward across our manufacturing network. And on the bottom line, we reported full year 2025 diluted EPS of $1.36 versus $1.41 last year, and adjusted diluted earnings per share of $3.22 versus $3.11 last year, ahead of expectations. Pfizer Inc.'s recently launched and acquired set of products delivered $10.2 billion in revenues for the full year of 2025 while growing approximately 14% operationally versus last year. We plan to continue to invest behind these two product groups to drive their future performance to enable the company to partially offset our LOEs over the next several years. Now turning to the fourth quarter, we recorded revenues of $17.6 billion, a decrease of 3% operationally versus the same period of last year, largely driven by an approximate 40% operational year-over-year decline in our COVID products. The decline was primarily due to commodities receiving a narrow recommendation for vaccines in the US, and Paxlovid, which experienced reduced demand for lower infection rates. Having said that, our non-COVID product performance was solid, growing 9% operationally versus the same period of last year. Our results demonstrate the effectiveness of a refined commercial strategy. We saw solid contributions across our product portfolio, primarily driven by Abrisvo, Eliquis, Prevnar, and the Vyndaqel family. Adjusted gross margin for the fourth quarter was approximately 71%, primarily reflecting the product mix in the quarter, including lower commodity sales versus 2024 as well as continued strong cost management. Future improvements in our manufacturing footprint remain a top priority going forward. As a reminder, over the past two years, our adjusted gross margins have generally remained in the mid to upper seventies, excluding Commodity, which has a fifty-fifty profit split with our partner, BioNTech. We achieved approximately $600 million in savings from phase one of our manufacturing optimization program through 2025, with additional savings expected in 2026 and 2027. Total adjusted operating expenses were $7.4 billion for the fourth quarter, in line with last year. But looking at the components, adjusted SI and A expenses decreased 5% operationally, primarily driven by focused investments and ongoing productivity improvements that drove a decrease in marketing and promotional spend for various products and lower spending in corporate enabling functions. Adjusted R&D expense increased 4% operationally, primarily driven by an increase in spending in oncology and obesity product candidates, partially offset by a net decrease in spending due to pipeline focus and optimization, including the expansion of our digital capabilities. Now turning to the bottom line. In the fourth quarter, our reported diluted GAAP performance was a loss per share of 29¢. Our adjusted diluted earnings per share performance was a profit of $0.66, ahead of our expectations due to our overall gross margin and cost management performance. In support of our goal to enhance R&D productivity and focus on high-impact medicines, our fourth quarter GAAP results reflect strategic decisions in our development plans and updated long-range revenue forecasts for certain products and pipeline assets. As a result, we recorded approximately $4.4 billion of non-cash intangible asset impairments related to several medicines in development, as well as in-line products. It is important to note that one of the asset indications we deprioritized was dicitamab vedotin in bladder cancer, largely the result of the recently strong study readouts, expanded indications, and related higher long-term revenue projections for PADCEP. PADCEV is an asset we will continue to invest behind, thus diminishing the value of DV in bladder cancer. I will also mention while impairment decisions are based on current valuations of individual assets, overall, the Seagen portfolio is progressing ahead of our expectations. These decisions highlight our focus on delivering future growth as well as innovation. We are on track to deliver the majority of the anticipated $7.2 billion in total net cost savings from our productivity programs by 2026. We expect additional savings of $700 million in 2026 and $200 million in 2027 from phase one of the manufacturing program for a total of $1.5 billion in savings by 2027. In addition, we exceeded our savings target through 2025 from our cost realignment program. And as previously communicated, the R&D savings achieved in 2025 under the cost realignment program are expected to be reinvested in 2026 and are reflected in our 2026 R&D guidance range. We remain committed to achieving the expected $5.7 billion total net savings from our cost realignment program by 2026, at which time we will have met our savings commitment under the program. Going forward, we will continue to focus on identifying further productivity opportunities and efficiencies. Let me quickly touch upon our capital allocation strategy, which is designed to enhance long-term shareholder value. Our strategy consists of maintaining and over the long term growing our dividend, reinvesting in our business at the appropriate level of financial return, and in the future, the potential to make value-enhancing share repurchases. In 2025, we returned $9.8 billion to shareholders via the quarterly dividend, invested $10.4 billion in internal R&D, and invested approximately $8.8 billion in business development transactions, primarily reflecting the Metcera acquisition and the 3S bio licensing deal. As a reminder, our leverage is expected to end 2025 at near our 2.7x target following the close of the Metcera transaction. However, given the next few years of LOE headwinds, we expect the leverage to remain at this current level or slightly higher through the LOE period. Additionally, the planned sale of our stake in VIVE will further improve our balance sheet. When including the Vee proceeds, we have approximately $7 billion in BD capacity. Now let me turn quickly to our full year 2026 guidance, again, which remains unchanged. We expect total company full year 2026 revenues to be in the range of $59.5 billion to $62.5 billion and full year 2026 adjusted diluted earnings per share to be in the range of $2.80 to $3 a share, which reflects our expectations of strong contributions across our product portfolio, mid-seventies adjusted gross margin, continued focus on strong cost management, all while prioritizing investments in our business to drive growth by the end of this decade. Our COVID products are expected to trend lower again in 2026 with revenues of approximately $5 billion. We continue to expect stable revenue contribution from our non-COVID product portfolio, which incorporates an expectation of approximately $1.5 billion in revenue compression due to products impacted by anticipated generic entry in 2026. Revenues at the midpoint, excluding COVID and LOE products, are expected to grow approximately 4% operationally year over year. And lastly, I will mention that we will continue to monitor currency fluctuations as the year progresses. In closing, let me continue to emphasize that over the next few years, our focus is on investing in key assets and managing upcoming LOEs, mainly from 2026 through 2028. At the end of the decade, growth is expected to be driven by our advancing R&D pipeline, the business development initiatives we've already executed, and the ongoing progress of products we've recently launched or acquired. Our goal is to invest strategically, balancing cost savings with funding high-value products, designed to ensure long-term and sustainable growth potential for our shareholders. And with that, I'll turn it back to Albert and begin the Q&A.
Albert Bourla: Thank you, David. Congratulations for an excellent quarter. Now operator, please assemble the queue.
Operator: Thank you. Star one on your keypad. To leave the queue at any time, press star two. Once again, that is star one to ask a question. Our first question will come from Christopher Schott with JPMorgan. Please go ahead.
Christopher Schott: Great. Thanks so much for the question. Just had maybe a two-parter on the VSPR III data. I guess, first, can you just elaborate any more on the tolerability you saw here? And maybe specifically, anything more you can say about vomit rates or any differences you saw between the mild or moderate dosing arms. And then just maybe bigger picture, if we consider the two doses that are moving forward from VSPR-three, it seems like you have a drug that clearly has solid weight loss. Got monthly dosing, at the same time, that weight loss might be a bit below you saw in the weekly or is that bound? I just want to get your views on what role you see that type of profile playing in the market. Thanks so much.
Albert Bourla: Excellent. And, of course, I will start with Chris, who will be the one who will receive most of the questions today, and I love it. So and then maybe we'll ask also the commercial guys to speak a little bit. So why Chris, why don't you speak?
Chris Boshoff: Thanks for the question. So, obviously, we will share the full tolerability data at our oral presentation at ADA in June. We are really encouraged by the observed distribution of AEs across weekly and monthly, and could have expected potentially that when patients switch to a fourfold higher dose, we're gonna have a higher number of sudden discontinuations. And nausea and vomiting did not. Nicely distribution between the monthly as well as the weekly. Just to remember for this study, there was no down titration was allowed, which is unusual for obesity trials. But that will obviously not happen in the phase three study. We will allow down titration. Regarding the different doses, as we pointed out, low and medium were presented today. The higher dose is already being tested in VESSA four because previous prediction models indicated that it will be well tolerated and we should test 2.4 milligrams weekly, which is happening now. And in the monthly study, we'll test 9.6 as pointed out.
Albert Bourla: Alright. Why don't we go I mean, how do you see this playing commercial? Yeah. And then I'll examine.
Aamir Malik: I think when you look at the clinical data, I think what it suggests to us very clearly is that 3944 from an efficacy perspective, has the potential to deliver efficacy that's competitive with a standard of care and potentially best in class against monoagonists. So we think when you take that efficacy and then you combine it with a lower medication burden through a monthly dose, that's a value proposition that's gonna resonate with patients, with providers, with payers because persistency simplicity matter and it also gives us the opportunity to switch patients from weekly onto therapy. So we think 3944 is going to be a compelling therapy full stop. And then you add to that the opportunity that exists from the other assets that we have in our portfolio with our commercial capabilities to execute in the US and international, and I think it gives us a lot of confidence around the commercial potential.
Albert Bourla: Yep. Thank you, Aamir. The surprise, I think, so far with this market, it is how well it is performing outside the US. So Alexandre, what's your take?
Alexandre de Germay: That's right. Yes. What's really interesting in this category is actually the size of the market ex-US projected to be $150 billion, and 40% of that is actually ex-US. There are two things that are really interesting in this category that are unique. And that reinforce the potential of this asset. First, is the out-of-pocket category. Because, in most countries, when we introduced innovation, we have to go through reimbursement negotiation and often translate into price reduction. In this category, we see that there is high willingness to pay out of pocket across all mature markets, either be in Europe or Australia or in Canada, and we see the price point being across $250 to $350. Which is higher than what we had expected. And when we look at the latest release from our competitors in this category, we see that there is higher willingness to pay from all those geographies. Including actually also emerging markets where we also see high prevalence. The second thing is the time to market because it's gonna be mostly an out-of-pocket category, the time after approval at the EMA will be in sentence where we will be able to actually commercialize those products. So that will drive also rapid penetration in the market.
Albert Bourla: Thank you, Alexandre. Next question, please.
Operator: Our next question comes from Vamil Divan with Guggenheim Securities. Please go ahead.
Vamil Divan: Great. Thanks for taking the question. So just maybe building off this, Chris, you just talked a little bit about this in the prior question around down titration in Phase III. Can you just elaborate a little bit more on that kind of how you're designing your phase threes and allowing for flexibility of the patient maybe you're dealing with any sort of side effects and maybe that improves overall the profile received from phase two. And then my other question is actually just beyond VSPR three. You mentioned this would be at ADA. Curious what other data we may get from either your internal programs or from the Metserv portfolio at AVA and possibly your internal GPR do you expect to provide that phase two data there? Thank you.
Chris Boshoff: Thank you very much for the question. Just a reminder again for the VSPR three data we presented today, there's only two step-up doses. You're used to four, five step-up doses to get to the desired dose. In this study, there were only two step-up doses. So the phase three design for vespa six will test different titrations as well as, as we pointed out, the additional dose of 9.6 milligrams, which is currently being tested in Vespa four as 2.4 milligrams weekly. Regarding the next the rest of the portfolio, we are obviously excited about the platform in general. It's a very differentiated platform. As you know, we previously presented data for the ultra-long-acting amylin 39445, also called MET233, where the observed additive weight loss when combining 3944 and 3945 was 5% a day eight and single-agent ultra-long amylin previous data showed at day 36, 8.4% placebo-adjusted weight loss. So we should share later this year, including at ADA, updated data on the amylin, and potential early data for the combination of the amylin plus 3944. We also, as you know, our portfolio, excited about the rest of the phase two programs, which include a potential first-in-class GIPA antagonist oral that was discovered, conceptualized internally that's currently in the randomized phase two experience, and also the more broader phase one program of peptides, including an ultra-long GLP-1 that's potentially three-monthly quarterly. That's currently in phase one. As well as our additional oral portfolio, including the oral GLP-1 recently acquired from Yopharma.
Albert Bourla: Thank you, Chris. Next question, please.
Operator: Our next question comes from Steve Scala with TD Cowen. Please go ahead.
Steve Scala: In the VSPRS three data, did the placebo arm gain weight or lose weight? And the second question is not on obesity, but Pfizer Inc. has been quite adamant about no life beyond December 28 for Vyndaqal. Should we completely rule out any sort of strategy whatsoever such as settlement with generic companies on patents, Pfizer Inc. holds?
Albert Bourla: Thank you, Steve. Let me take the Vyndaqal because I have been asked multiple times. Right now, we are assuming that the patent will be lost in 2028. And I don't have any other comments to make on that. You know these are very sensitive topics. So I'm moving to Chris now to talk about the placebo arm. Oh, the placebo arm. What was the weight loss there?
Chris Boshoff: Oh, and again, the full data we presented ADA, but in this case, VESPA three, actually, the placebo arm was very stable, not really up or down, but you'll see the data at ADA.
Albert Bourla: Alright. Thank you very much. The next question, please.
Operator: Our next question comes from Geoffrey Meacham with Citibank. Please go ahead.
Geoffrey Meacham: Congrats on the data today. Again, a few on the new data today. So you look at the PKPD, are you guys set with monthly being the longest dosing interval to preserve efficacy? Or is it potentially is it feasible to extend to, you know, every two-month dosing? And then on your phase three plans, you know, is it your sense these are likely to be the standard type of metabolic studies that we'd expect to do, or would you pursue any maybe inflammation or neuropsych indications or would you pursue GLP-1 active comparator studies? I'm trying to think of how you could separate yourself in a broad phase three program. Thank you.
Albert Bourla: Yeah. Thank you. Thank you, Jeff. So, Chris, monthly, or more and then additional studies?
Chris Boshoff: So thank you for the question. So 3944 is, as we demonstrated, the first peptide that can be administered monthly. And potentially, yes, we can go longer, but for 3944, our aim is as a monthly maintenance therapy. As I mentioned, we do have another molecule, a peptide currently in phase one, which has a prodrug, a propeptide with a potential for three-monthly administration. That's currently in phase one, and we should in the next couple of months get additional PKPD data from that molecule, which will be our potential opportunity to go to three-monthly. The second question, the initial phase three programs were before based before five and six based before is the one in patients without type two diabetes. That's currently ongoing with weekly testing, including the high dose of 2.4 milligrams weekly. Vespa five in patients with type two diabetes, and VESPA six, the study that will include monthly dosing. Beyond that, we plan to start seven studies. We haven't shown or revealed what these studies are gonna be, but you're absolutely correct that beyond cardiovascular metabolic, we are looking at other opportunities to differentiate and also to differentiate with our combinations. For instance, with Amelin or with the GIPA currently in phase one.
Albert Bourla: Thank you. Next question, please.
Operator: Thank you. Our next question comes from Terence Flynn with Morgan Stanley.
Terence Flynn: Hi. Thanks for taking the questions. Maybe two also for me on the VSPER-three data. I know you want to hold a lot of data till ADA, but just was wondering if you can provide any high-level details on the baseline characteristics, so either BMI or gender mix. I know sometimes those can vary across studies. And then, on the tolerability side, again, one question when you have longer dosing intervals is the duration of GI side effects. And so, any qualitative commentary there if that's longer than you know, one or two days? Thank you.
Albert Bourla: Thank you. Chris, again, that goes to you.
Chris Boshoff: Okay. Just to start with the demographics, the study was conducted in the US only, and I think, as you know, there are differences especially in AE and tolerability discontinuations between US-only patient populations. So that's one. The rest of the detailed demographics will be presented at ADA, but it's as expected from a small US-based phase two study. The next question was tolerability. As we said it before, we are encouraged by the overall tolerability. It is similar to what you expect for GLP-1 class, but specifically, we can move to monthly with a distribution of AEs across weekly and monthly. That didn't give us alarm that switching to monthly, suddenly there's a cluster of discontinuations or significant AEs. As I pointed out earlier as well, there's no there's only one severe nausea, one severe vomiting across the whole program. No severe diarrhea. So overall, we're very encouraged by the safety profile. And, again, ADA will share the IE profile.
Albert Bourla: Thank you, Chris. Next question, please.
Operator: Thank you. Our next question comes from Akash Tewari with Jefferies. Please go ahead.
Akash Tewari: Hey, thanks so much. So the data in second line plus NSCLC has been pretty underwhelming so far versus docetaxel. Your team confident that you can deliver a superior profile with your upcoming Phase three with b six a, or are you gonna need to enrich in B6A high expressing patients? Can you help frame expectations for this readout?
Chris Boshoff: So you're referring to cepotidacodotin. Yes?
Akash Tewari: Yeah. Correct.
Chris Boshoff: Okay. So for docetaxel, this is a second-line study. I should point out, against docetaxel. The phase three study there's also an additional phase three study ongoing, just a reminder, which is first-line which is cegravatumab vedotin plus pembrolizumab versus pembrolizumab in the TPS high PD-L1 high population. In the single-agent activity we've seen was the response rate was over thirty percent with a median overall survival in the phase two study, which approached sixteen point three months. So overall, we're encouraged by the data with the combination study with ASP plus pembrolizumab. We saw an overall response rate of fifty-seven percent and with a disease control rate of over ninety percent. So we are confident in the two studies. I agree with you that the second-line study against docetaxel, none of the other ADCs have really shown a benefit over docetaxel, but everything we've seen so far gives us confidence in the trial. That will be the first study to read out and the second study to read out will be the one with pembrolizumab versus pembrolizumab. It's an event-driven study. Events are slower than we expected, so that could mean either Omar performing better. But we should update you on the study results in the coming months. First half of this year.
Albert Bourla: Excellent, Chris. So then next question, please.
Operator: Thank you. We'll go next to Asad Haider with Goldman Sachs. Please go ahead.
Asad Haider: Great. And thanks for the detail on the clinical catalyst. So maybe just one on portfolio realignment. Albert, with respect to just this recent divestment of your stake in the HIV joint venture with Glaxo, just broadly, what innings are we in in terms of just portfolio pruning or realignment, noting that you've also recently announced a new reorganization incorporating your global hospital and biosimilars business? Thanks.
Albert Bourla: I think Chris can also comment on that, but let me even that you addressed the question to me. I think we have done most of our pruning of our pipeline right now. So the things that we are continuing right now at large are things that we believe they are the ones to invest. And we keep investing. Very, very few exceptions of things that they were already there and we had some issues to discontinue. Or to divest. So I think from that aspect, I think we are doing very well. Chris, anything to add there?
Chris Boshoff: Yeah. We're focusing just on the four therapeutic areas, and we're doing twenty twenty-five, significant prioritization and focus the program. And as you know, identified up to $500 million savings in R&D, which is now reinvested in phase three programs. And this year, as Albert pointed out, we plan to start approximately 20 phase three programs driving the portfolio.
Albert Bourla: And maybe Dave also can add a little bit of color on that, but I just wanted to say that when you speak about realigning, creating synergies or creating cost savings in R&D that we reinvest. We don't mean going forward with discontinuation of programs. Actually, we'd increase of programs is going to be by deploying AI, which already happened, in 2025 with excellent results. That creates significant productivity gains. This is where we are reducing the cost of R&D. And we all are invested in more programs that, as you see, we are starting 20 pivotal studies in 2026.
Dave Denton: Yeah. I just would just add on to that. As we look at our in-line portfolio of products, we always continue to look to see how we can max the value. Vive is just a good example of a non-strategic asset for us monetizing that in such a way that we can redeploy that capital at higher returns in the future. As you pointed out, we did create a sterile injectable and biosimilar set of products. Of which were focused on driving productivity across that set of product portfolio. And we will continue to do that as we think about our product portfolio going forward.
Albert Bourla: Thank you very much, Dave. Next question, please.
Operator: Thank you. Our next question comes from Courtney Breen with Bernstein. Please go ahead.
Courtney Breen: Thanks so much for the question today. Just perhaps building on the conversation that was just taking place. As you talk about the 20 plus pivotal studies that are starting this year, we're seeing kind of a midpoint $11 billion guide for R&D in 2026. How do we think about 2027 as these studies start to annualize? And then kind of combining that with the element you just raised, Albert, of the AI investment, the 1,200 GPU deployment that you're making, kind of when and where we begin to see impact from that strategy, and will that impact anything in the operations of R&D of those pivotal trials, or should we be thinking more about innovation on the research side of the long run? Thank you so much.
Albert Bourla: Courtney, thank you. That's a very good question. As you can understand, we don't give guidance for 2027. But I will ask Dave to give some color.
Dave Denton: Yeah. I guess, contextually, if you just think about R&D as we cycle from 2025 into 2026, with the business development transactions that we've done, we've actually increased the burden and the load of work needs to be done within our R&D infrastructure. At the same time, we're investing about $11 billion in R&D. So we're being able to be more productive in the infrastructure across R&D and take on more sub to be able to focus on creating medicines for the end of the decade and beyond. So I think what we're trying to do is continue to refresh, improve the productivity across our R&D platform to invest those dollars back into R&D to continue to forward advance the programs that we have underway and the programs that we're developing. As you know, 2026 is a big start year for us from a science perspective. We will continue to focus on those going forward.
Albert Bourla: Thank you, Dave. Next question, please.
Operator: Thank you. Our next question comes from Umer Raffat with Evercore ISI. Please go ahead.
Umer Raffat: Hi, guys. Two quick ones, if I may. First, on the GLP monotherapy, could you remind us if the 9.6 milligram monthly dose was the reaction to the data today? Or was that already being contemplated? And then secondly, on the emerging tolerability data for your GLP plus amylin combo, how are you feeling on that? And do you think you can fit the GLP plus amylin in a single pill? Thank you.
Chris Boshoff: Okay. Thank you, Umer. So on the first question, a reminder that the 2.4 milligrams is already being tested as a weekly regimen, so it's a high dose in VESPA four. And that decision was made based on the modeling-based meta-analysis. And as we showed today, our modeling predicts very well between what we actually observed and what the modeling predicted for 3.2 and 4.8. So we have confidence in the modeling also for 9.6 or the 2.4 milligrams.
Albert Bourla: Which basically what you say is that the 9.6, it is the 2.4. Correct. Four times weekly, it is a 9.6 month.
Chris Boshoff: Correct. Yes.
Albert Bourla: Any other what is the second part?
Chris Boshoff: Combination. The combination or not? Power built. So just a reminder that the combination is monthly. It's amylin plus GLP-1 ultra-long monthly subcutaneous, so it's not in a pill. We do have an oral portfolio and we do have some other oral medicines discovered internally. Which we've not revealed yet. But currently, our oral medicines, GLP-1 and GIPA. Nor the amylin as oral.
Albert Bourla: And how do you feel about this day?
Chris Boshoff: We'll show data for the amylin plus GLP-1 monthly data for the ultra-long monthly data at ADA. The earlier data we've shown reminder the combination of 3944 plus 3945 was 5% at day eight. That was early data that was shown, and we'll update that data later this year.
Albert Bourla: Alright, Chris. Thank you very much. Next question, please.
Operator: Thank you. Our next question comes from Jason Gerberry with Bank of America. Please go ahead.
Jason Gerberry: Hey, guys. Good morning. Thanks for taking my question. I apologize for the background noise. But just based on today's VSPR III update, just kind of curious how you're thinking about the value add of the GLP-one amylin injectable combination relative to the monotherapy? And are you really looking to kind of compete in that ultra-high efficacy tier with agents like Lilly's g g g, or is the value add potentially more in GLP-1 non-responders? Just sort of curious because it seems like what you have with the monotherapy approach can make you competitive with ZEPBOUND and Meritide. So just sort of curious how you think about the combo and where that fits.
Albert Bourla: Why don't I ask Chris to give a little bit of science behind this combination, and then we'll ask Aamir and Alexandre to comment on how that can be marketed.
Chris Boshoff: Yeah. We will have optionality because we are developing in place through both the single agent 3944 as well as the combination 3944 plus 3945. Everything we've seen thus far suggests to us, to your point, that we should get increased efficacy for the combination and that's why we hope to update later data later this year. Start the phase two study this year, and then next year, the phase three study for the combination.
Albert Bourla: And then, Aamir, how do you think this playing as a portfolio?
Aamir Malik: Yeah. Jason, so I think the quick answer would be, look. I think we're in the very early innings of a large market where there is still significant unmet need. Right? There's more convenient dosing that's needed, higher weight loss for certain BMI patients, GI tolerabilities need to improve, maintenance strategies, friction in the patient journey. So our belief is that there's not gonna be one single asset that serves all those patients. People are going to have different starting points, goals, preferences on their dosing and route of administration, comorbidities, their willingness to pay. And what you need to win in a market like that is, one, you need a great portfolio of products that can serve all those patients' needs. And two, you need really differentiated capabilities. I think with Chris describing not only our data today, but some of the other things that we have in our portfolio, we have the first piece, in place and emerging. And we feel very confident about our commercial capabilities, whether it's our field forces that have top-ranked in the US and already are seeing the majority of GLP-one prescribers or the digital platforms that we're building, Pfizer for All that have touched over 25 million patients. So when you put that all together, we have a lot of confidence in our ability to win commercially in this market with these assets.
Albert Bourla: Thank you. And, Alexandre, any additional?
Alexandre de Germay: No. I don't.
Albert Bourla: Okay. Let's go to the next question, please.
Operator: Thank you. Our next question comes from Michael Yee with UBS. Please go ahead.
Michael Yee: Thank you. Two questions. One for Chris and one for Dave. On the oral GLP-one that you guys recently in-licensed, can you just remind us how much information you knew or what data you already had? I booked there's already a large phase one ongoing. So that should add some comfort there. But tell us about what you knew already on that molecule. And then for Dave, you've reiterated $7 billion of capacity. Can you just talk about the ability to do more in the context of the recent dividend pause or at least dividend growth pause recently, given that that doesn't happen very often and how you think about your dividend? Thank you.
Albert Bourla: Let me start with Dave for its aims this time, and then we go to Chris.
Dave Denton: Yeah. So, you know, clearly, our focus is maintaining our dividend at the moment and growing our dividend over time. So it's a very important and critical structural component of our capital allocation program. And, again, we do have we've coming into this year, we had $6 billion in BD capacity. It's actually gone up a bit as we've announced the pending liquidation of the VIVAF asset. So that actually is a good example of how we're looking at the set of assets that we have within Pfizer Inc. and understanding how we can best monetize them over time. So with that, I'll turn it over to Chris.
Chris Boshoff: Thank you very much. 5002 is the Yao Pharma oral small molecule, which is not on a do danaglutron scaffold. It's currently in phase one. And we've acquired it through an exclusive global collaboration and license agreement with Yao Pharma. And we plan to conduct phase one studies and also combination studies with our GIPA antagonist that's currently in a randomized experience in phase two. So and we're currently transitioning all the work to the US to start the phase one studies in the US, including manufacturing in the US.
Albert Bourla: Thank you. Next question, please.
Operator: Thank you. We'll go next to Alexandria Hammond with Wolfe Research. Please go ahead.
Alexandria Hammond: Thanks for taking the question. One of the key readouts guided for 2026 is that Lyme disease vaccine VALOR study. But a few on this. When could we expect an update, and what are expectations for the launch if positive? What does vaccine contracting look like and what channels will be the key target for you? And I guess, finally, how big could this opportunity really be?
Albert Bourla: Yes. Lung disease? Yes. Thank you. I'll start. So thank you very much. This could be a first-in-class vaccine for Lyme disease, the phase three VALOR trial. It's a multivalent protein unit vaccine targeting all six outer surface proteins of Borrelia burgdorferi. The study, we expect to read out first half of this year. Just a reminder, approximately 400,000 people in the US and 132,000 people in Europe are affected by Lyme disease. And as you know, significant long-term morbidity and long-term sequelae. So specifically in certain regions of the world could be very, very important.
Albert Bourla: Thank you, Chris. We are eagerly awaiting to see the data, but that could be a huge solution for an unmet medical need. Let's move to the next question, please.
Operator: Thank you. We'll go next to Mohit Bansal with Wells Fargo. Please go ahead.
Mohit Bansal: Great. Thank you very much for taking my question. And one more on the Vesper program here. Would like to understand what kind of target profile you are looking at from the phase three trial. I'm asking because with the GLP-1, you kind of mid to high teens kind of weight loss. There's an optimized GLP-1. And if you try to push it beyond that, you could probably start to run into tolerability issues. What makes you think that this longer-acting GLP-1 could provide higher weight loss than that? Will it be a better probability, or do you think that monthly is probably the biggest differentiator here? Thank you.
Chris Boshoff: Thank you very much. So it's both. We expect competitive weight loss and the data we showed today, including with the predictions what to expect from the 9.6 milligrams at sixteen milligrams weight loss. We predicted at week twenty-eight is highly competitive. Terrible to be highly competitive. And then, of course, monthly dosing, which will be highly differentiated. Just to point out, we are also planning a phase three study which will evaluate switching. So patients already on weekly therapy doing well to switch those patients to monthly dosing.
Albert Bourla: Thank you, Chris. And this is not only ours, of course, weekly. To monthly, but also any other GLP-1s that are in the market. And they want to move up. They achieve a weight loss. Into a maintenance with only one injection rather than with four. Of course, there is also the oral solutions, but that's going for one weekly to one daily pill. Some will do it, but I think our research shows that most would like if they are already used, needle and they would like to switch mostly to a more convenient needle, which is once a month. Next question, please.
Operator: Thank you. We'll go next to Evan Seigerman with BMO Capital Markets. Please go ahead.
Evan Seigerman: Hi, Thank you so much for taking my question. I just wanted to touch on your comments around investment in AI. How what are some metrics you're putting around that? And more broadly, I just want to ensure that this is going to derive a good return on your address in versus just kind of feeding into the hype.
Albert Bourla: Yeah. It's a very good question, and let me start, but then I will ask specific marketing achievements and R&D achievements through AI. In general, there are things in AI that technology is ready now. And those are deploying very, very fast. And certainly, AI cannot do everything, but certainly can do more than what it is used. Right now to do. And that has to do with how successful you are in implementing it, embedding it, into your organizational footprint, embedding it into your business processes, and also creating AI literacy among the employees that eventually are using this AI. And with that, clearly affects everything from enabling functions, and maybe Dave can speak a little bit about the things that we are doing there. I mean, when I say enabling functions from finance, HR, legal, you name it. And, of course, in R&D, where we have seen already significant productivity enhancements, in marketing that it is helping us to maximize the ROI right now. And in the manufacturing, where a very big part of the savings that were achieved, they were achieved of a successful deployment of AI use case that is called the golden butt. Chris, you want to give some specific examples?
Chris Boshoff: Yeah. Thank you very much for the question. So as you pointed out, in R&D, we're embedding AI in each function, meaning in the discovery, medical, regulatory, safety, pharmacovigilance, clinical trial execution, and we're recruiting and embedding AI engineers in each of those functions to work with the scientists and the clinicians. How to measure success, productivity, productivity, speed, and cost. Do we bring cost down by embedding AI? And, obviously, accelerating speed.
Albert Bourla: What about in commerce?
Aamir Malik: Yep. Evan, I think metrics are at the heart of everything that we're doing with AI. I'll give you two very specific examples. One is our field force productivity. We're using AI to not only help train our field forces, but also help make their time with physicians maximized. So we invest more time with physicians rather than behind screens. Second is on the marketing side, we measure MROI. And you've seen us be very disciplined as Dave alluded to. In our SI and E spend, particularly as we're trying to grow revenue for a lot of our launch and acquired brands, and AI has absolutely helped us increase our MROIs by being much, much more targeted about where we invest.
Albert Bourla: Thank you, Alexandre. You did fantastic things also in international with AI.
Alexandre de Germay: Yeah. That's right. I mean, every step of the way when we interact with our customer is subject to an improvement with AI. Let me give you an example. Pre-call planning for our rep is actually done better when it is done with AI. The quality of the interaction is listened to so that we can rerun those interactions that we can improve the quality of the interaction. We can also do targeting in a better way so that we have advanced targeting thanks to AI. And finally, imagine that operating globally with very different regulatory requirements requires every country to redo and reassess every promotional piece. With AI, we can do that instantly. In all those markets. We need to rerun all those activities in every country. So that has a massive impact on productivity. And speed to market.
Albert Bourla: And, Dave, maybe we close with
Dave Denton: Yeah. Maybe just two points. From an enabling functions perspective. I think about AI in us leveraging our vendors because we have big vendor technology platforms across our enterprise. And as they make investments, in their platform, we're taking advantage of those and embedding those within our process which is increasing our productivity. And then secondly, think about our model. We have routine transactions, but we have a large number of products that are across literally hundreds of markets. So AI is allowing us to use those data sets to essentially automate some of those transactions to make it very efficient that today we deploy resources to be able to do that. So now the technology is enabling us to be a lot more productive.
Albert Bourla: Yeah. So in closing, Evan, that's why we put it as one of the four imperative strategic priorities we plan to do, which is to scale up. Because we have so big success. Many people are asking us how is it possible that Pfizer Inc. was able to take so much cost out of its operations without affecting the top line? And the answer is, yeah. We didn't just cut cost. What we did is we improved productivity. And the main lever, of course, there were simplification efforts that also took place. But the main lever was the successful deployment of AI where basically by you we are reducing the cost without that being seen in the activity. So very excited about the prospects of AI. Next question, please.
Operator: Thank you. Our next question comes from David Risinger with Leerink Partners.
David Risinger: Yes. Thanks very much. And thanks for all the updates. So my question is for Chris. Chris, could you talk a little bit more about MET233I, which I believe is now numbered 3945. Specifically, the bias of amylin relative to calcitonin, the implications for the efficacy and tolerability profile, and the data we should expect at ADA. Thanks very much.
Chris Boshoff: Thank you very much for the question. So this is an ultra-long-acting amylin. Which was previously shown to have a monotherapy and efficacy of 8.4% placebo-adjusted weight loss at day thirty-six. It's a dual molecule, so it's not biased to the one. It's the SIBO-like tolerability was previously shown with the monotherapy. And that gave confidence for starting the combination 3944 and 3945 or three. Previously, early data shown at 85% weight loss, but, obviously, that's very early. So we will update those data later this year. This is an important combination for us. Because we believe with this combination, we can have best-in-class efficacy with a monthly dosing, which will be highly differentiated for this combination.
Albert Bourla: Thank you. Thank you, Chris. And now it's time for the last question.
Operator: Thank you. Our final question comes from Louise Chen with Scotiabank. Please go ahead.
Louise Chen: Hi. Thanks for taking my questions. I wanted to ask you first. It's been a couple of years since you completed the acquisition of Seagen, and I'm just curious how that integration has gone and then how has that deal really increased your leadership in oncology? And then just a second quick question on your PD-1 VEGF. It's becoming a more crowded market, so just curious where you expect to stand out with respect to your pipeline. I mean, there's some indications that are coming before yours, but is there anything special that you would like to call out? Thank you.
Albert Bourla: Thank you, Louise. And, clearly, Seagen has been integrated on research, commercial, manufacturing, and multiple other levels. But, given that Chris was the leader that drove the integration, during the first sensitive year Chris, maybe you want to make a comment on how the integration of Seagen went and continued.
Chris Boshoff: Thank you very much for the question. So firstly, we have a vibrant community of scientists and clinicians in Seattle. I believe we're one of the biggest employers for in the biotech or biopharma industry in that region. Most of our colleagues actually remained at Pfizer Inc., which is just a testament to our culture. And the success of the integration. A number of programs have started and been accelerated, including, as you've seen, the readout for 303 and 304 for PADCEP. We are planning an additional phase three study for PADCEP. It'll start later this year. It's an important study for us and for patients because that is to a study to potentially replace cystectomy. Which as you know leads to significant morbidity and mortality. We also accelerate a number of other programs into phase three including SV with two phase three studies ongoing and additional phase three that's study that's gonna start. PD-L1B and another phase three program ongoing in non-small cell lung cancer. And a number of phase one ADCs that's differentiated, including using the integrin beta-six antigen as a marker with new payloads including topo two and different new orastatin-based pilots. So integration overall, Seagen going very, very well. Regarding 4404, it is a differentiated molecule. What we've seen in the preclinical data was a hundredfold increase for the affinity. For PD-1 in the presence of VGFA and binding to all isoforms of VGFA. So preclinical data highly encouraging. Overall, encouraged by the field now. As you know, we've recently seen from China first-line non-small cell lung data that was positive. The data we've seen with a combination of 4404 with chemotherapy are highly encouraging, and as we accelerate the program, as you've seen, started phase three programs already for colorectal cancer, and earlier this year, we'll also start with first-line phase three with non-small cell lung cancer and then endometrial cancer and bladder cancer, including combinations with our ADC portfolio.
Albert Bourla: Thank you, Chris. Very exciting. So thank you very much, everyone. Clearly, I'm very proud of what we achieved in 2025 in multiple horizons. The last piece of the puzzle was revealed today with the fourth quarter results, which were stellar. We beat with a significant margin revenues and earnings in the face of the lowest ever COVID season, but generated the lowest ever revenues because of the way that this strain was mild. Now we are already in 2026. And this is a pivotal year because it marks the first year of an LOE cycle but already started. This year. And we've been preparing for that for many years with the acquisitions we have done, strategic and licensing agreements, while also we were sharpening our focus on the most impactful internal programs. Our US and international commercial organizations have refined models to strengthen leadership with key product portfolios. Streamlining and financial discipline are, of course, ongoing priorities. We will continue strategic investment in future growth and value creation for our shareholders, including by maintaining and over the long term growing our dividend. 2026 strategic agenda is clear. And I'm confident in the progress we will achieve. Thank you for your interest in Pfizer Inc., and we look forward to continuing to share our progress with you in the year ahead. Thank you.
Operator: This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.